Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Supremex Inc. Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Before turning the meeting over to management, please be advised that this conference call will contain statements that are forward- looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. I would like to remind everyone that this conference call is being recorded on Thursday, August 7, 2025. I will now turn the call over to Martin Goulet of MBC Capital Market Advisors. Please go ahead.
Martin Goulet: Thank you, operator. Good morning, ladies and gentlemen, and thank you for joining this discussion of Supremex' financial and operating results for the second quarter ended June 30, 2025. The press release reporting these results was published earlier this morning via the Globe Newswire News Services. It can also be found in the Investors section of the company's website at www.supremex.com, along with the MD&A and financial statements. These documents are available on SEDAR+ as well. A presentation supporting this conference call has also been posted on the website. Let me remind you that all figures expressed on today's call are in Canadian dollars unless otherwise stated. Presenting today will be Stewart Emerson, President and CEO; as well as Silvana Reyes, Interim CFO. With that, I invite you to turn to Slide 37 of the presentation for an overview of the second quarter, and I'll turn the call over to Stewart.
Stewart Emerson: Thank you, Martin, and good morning, everyone. After a promising first quarter and another strong performance in our Packaging segment, 2 items tripped up what would have been a decent quarter, particularly in light of the current uncertainty with U.S.-Canada trade relations and ongoing labor tensions at Canada Post. The 2 items I referenced were an untimely and precipitous drop in volume with a single U.S. direct mailer and a largely noncash foreign exchange loss, primarily attributed to U.S. affiliates indebtedness to the Canadian parent it does not accurately reflect operations in the quarter. We will discuss these items in greater detail momentarily. While those 2 items took some of the wind out of our sales on 3 exciting developments post quarter end, first, we unlocked significant value for shareholders by concluding sale-leaseback transactions on 2 owned properties. In doing so, we have significantly strengthened our balance sheet by extinguishing virtually all of our debt and put ourselves in a favorable position to continue to reward shareholders appropriately while still being able to execute our strategy. Supporting this statement, given our solid financial position and being mindful of our commitment of returning funds to shareholders, many whom have been patient as we build the company for sustained success, the Board of Directors declared a special dividend of $0.50 per share, and we also concluded 2 small acquisitions, one in each segment that will be tucked into our existing footprint. More on the M&A shortly. But before looking at the operations in detail, I'd like to address the foreign -- the loss on foreign exchange that impacted profitability in the quarter by $1.4 million and created a negative swing of $1.5 million versus the comparative Q last year. As the casual observer, a so-called loss of this magnitude may indicate operational volatility associated with our U.S. operations, and it would be difficult to square with our past assertion that the P&L is naturally hedged, so it merits further insight. The natural hedge is created when only a portion of our revenues come from U.S. and a substantial portion of company-wide raw materials are procured in U.S. dollars or tied to the U.S. dollar. It is true that as a portion of revenues from U.S. operations increases, that natural hedge comes under pressure. But that hedge remains largely intact with the current weighting of revenues and purchases. The vast majority of the $1.4 million loss on foreign exchange was reported this quarter is balance sheet oriented and attributed to the revaluation of U.S. intercompany receivables held by the Canadian entity as a result of the decline in value of the U.S. Greenback in the quarter, primarily in April. I think it's important that we understand this dynamic and recognize that it is largely noncash and nonindicative of operational performance or the volatility of operations based on foreign exchange. With that out of the way, let's look at the quarter -- let's look back at the quarter operationally beginning with our Envelope business. Not that softness from quarter-to-quarter should be a surprise given the secular decline in the industry, but the 3% volume reduction doesn't adequately reflect the underlying performance of the Envelope segment. As I said earlier, one direct mail client, one U.S. direct mail client delivered volume reduction in excess of the company-wide 3.1% decline reported. And what made it even more challenging is that the direct mail price per thousand tends to exceed the average, so the volume decline also drives an average selling price decline. To be more precise, and I go to this level of detail to provide context, the month of April was the real challenge, but activity with the customer roared back in May and June, with volumes being in excess of the Q2 2024 average and Q3 is promising. While we were unable to overcome April, it is important to know that exclusive of this customer, volume was actually up 2% in the quarter, well ahead of secular decline, the uncertainty around Canada Post and volume that was prepurchased by U.S. customers in Q1 as a result of the U.S. tariff threat. Unfortunately, the lower volume reported impacted absorption and combined with weaker pricing affected profitability more than the benefits from our rationalization in Greater Toronto area last year and gains made by the implemented procurement strategies. While nobody is happy with a reported 3% decline in volume after 4, that's right, 4 consecutive quarters of envelope volume growth, we believe the underlying fundamentals are solid and have confidence in Supremex' ability to overcome the headwinds and drive volume to the plants to maintain high levels of utilization and absorption in a highly efficient network. And speaking of networks, strength and efficiency, the Supremex network got stronger through the acquisition of Enveloppe Laurentide, a well-established envelope manufacturer servicing predominantly Eastern Canada and generating approximately $10 million in sales. Enveloppe Laurentide is a broad product offering with accounts and volume that will be completely new to Supremex and importantly, a stable of trained employees, many of which will join the Supremex team. This acquisition shapes up as a perfect tuck-in for us with a myriad of synergies. We informed employees on day 1 that we would produce in the Laurentide facility for 5 weeks and ceased production on August 15 and integrate volume within our existing network in Quebec, Ontario, and even Western Canada, where they have a small customer base. As I said, we enjoyed volume growth for 4 consecutive quarters and took a minor step back in Q2 but added to our platform in July. The Supremex Envelope business has proven to be resourceful and resilient, and we are confident in our ability going forward. Turning to the packaging business. We are pleased with continued top line performance in the second quarter with double-digit revenue growth and strong showings from our folding carton and e-commerce activities. Adjusted EBITDA was up 7.5% from the same period last year, but at 13% of revenues, we're still not where we expect to be and are actively seeking improvement in absorption and synergies within our network, particularly the Paragraph operations. While demand was soft at Paragraph, it was particularly strong for our e-commerce fulfillment solutions, where a mix of new customer wins and greater volume from existing customers produced impressive revenue growth. In folding carton, we continue to see volume recovery from channels related to discretionary consumer spending in the health and beauty segment, augmented by new business wins from current and reactivated customers and sustained momentum in the at-home food channel, the latter of which will take more prominent role going forward following the acquisition of Trans-Graphique in early July. This business located north of Montreal is a provider of folding carton packaging solutions, mainly for the in-home consumption market. Albeit small with annual revenues of approximately $5 million, it has a strong position that is constrained by capacity limitations with a number of well-known in-home food providers, which should help us make further inroads in food-grade packaging where we see solid growth prospects. We operated in the Trans-Graphique facility for 2 weeks after close until their annual 2-week summer shutdown and transferring employees reported to their new location this week upon their return. Most of the sales will transfer to the Lachine facility, which is not operating at full capacity, and we have sold or will sell the main manufacturing equipment to partially fund the acquisition. This low-cost transaction will improve absorption and allow us to grab more efficiencies and synergies. With that, I'll turn the call over to Silvana for a review of the financial results.
Silvana Reyes: Thank you, Stewart. Good morning, everyone. Please turn to Slide 38 of the presentation. Q2 total revenue amounted to $66 million compared to $69.3 million last year. Envelope revenue was $43.8 million versus $49.5 million last year. The variation reflects an 8.7% decrease in average selling prices, mainly due to a less favorable customer and product mix between the U.S. and Canada. Meanwhile, volume decreased 3.1%, essentially in line with industry demand. These factors were partially offset by a favorable currency conversion effect. Packaging & Specialty Products revenue was $22.2 million, up 11.6% from $19.9 million last year. The increase is attributable to higher demand from sectors more closely correlated to economic conditions, new business wins from existing customers as well as both higher demand from existing customers and new customer wins for our e-commerce-related packaging solutions. Moving to Slide 39. Adjusted EBITDA totaled $5.8 million or 8.8% of sales compared to $9 million or 13% of sales a year ago. Envelope's adjusted EBITDA was $6.2 million or 14.1% of sales versus $8 million or 16.2% of sales last year. The decrease reflects lower selling prices and the effect of lower volume on the absorption of fixed costs. These factors were partially offset by benefits from optimization measures in the Toronto area and procurement optimization initiatives. Packaging & Specialty Products adjusted EBITDA was $2.9 million or 12.9% of sales compared to $2.7 million or 13.7% of sales last year. The increase is mostly due to the effect of higher volume on the absorption of fixed cost and procurement optimization initiatives. Finally, corporate and unallocated costs totaled $3.2 million versus $1.7 million last year. The increase stems from a $1.4 million foreign exchange loss, reflecting the effect of variances and closing rates between the first and the second quarters on intercompany trade accounts due to the depreciation of the U.S. dollar value versus the Canadian currency. Turning to Slide 40. About result of lower EBITDA, Supremex concluded the second quarter with a net loss of $0.3 million or a loss of $0.01 per share versus net earnings of $2 million or $0.08 per share last year. Adjusted net earnings were $0.1 million versus $2.1 million a year ago. Moving to cash flow on Slide 41. Net cash flow from operating activities were $0.3 million compared to $10.2 million last year due to working capital requirements this year as opposed to a release last year and to lower profitability. For the same reasons, free cash flow was breakeven versus $10.9 million last year. Still, on a trailing 12-month basis, our free cash flow conversion rate was 0.64 and our free cash flow yield was approximately 22%, considering the recent share price. Turning to Slide 42. Net debt stood at $38.4 million as of June 30, 2025, up slight from 3 months ago due to the working capital requirements. Our ratio of net debt to adjusted EBITDA was 1.1x versus 0.9x 3 months ago, well within our comfort zone of keeping it below 2x. Following the completion of the sale-leaseback transaction announced on July 10, we repaid $31.5 million on our outstanding credit facility subsequent to June 30, 2025. Still, our strong financial position leaves us with significant [Audio Gap] allowing Supremex to purchase for cancellation more than 1.5 million shares, representing 10% of our public float. The program is set to start next Monday, ending on August 10, 2026. We have historically been active on these programs by impact more than 10 million worth of shares since 2021, and we intend to be also active with this new program. Finally, in addition to the special dividend of $0.50 per common share payable on September 25 to shareholders of record at the close of business on September 10, the Board of Directors declared a quarterly dividend of $0.05 per common share payable on September 19 to shareholders of record at the close of business on September 4. I now turn the call back to Stewart for the outlook. Stewart?
Stewart Emerson: Thank you, Silvana. Although the first half did not produce what we were looking for, we remain committed to building the business for the long term. We have no control over the economy and the trade environment, but we can certainly continue and will continue to make our network of good business, more productive and efficient, while actively driving sales and planting seeds for additional revenue opportunities. Our foundation is solid and ready to be further built on. A strong balance sheet got even stronger following the completion of the sale-leaseback transactions, and we will utilize our available capital judiciously and are committed to returning value to shareholders as evidenced by the announced special dividend, the renewal of our stock buyback program and a fair yet conservative regular quarterly dividend payout and strengthening existing operations via modest M&A while maintaining low leverage. This low leverage allows us to continue looking for targets that will enhance absorption and reach in our primary markets. While taxing and creating some lumpiness in financial performance, we believe we have managed the cross-border trade uncertainty well to this point, and we are in a good position regardless of what happens next. In closing, we are focused on creating enduring value for shareholders. We have the tools to achieve our goals, strong teams, high- quality assets, solid business relationships and a proven reputation. Volume is magic. And with our solid foundation, we are well positioned to grow our envelope and packaging volume to enhance absorption and drive sustained profitability. This concludes our prepared remarks. We are now ready to answer your questions.
Operator: [Operator Instructions] The first question comes from Donangelo Volpe with Beacon.
Donangelo Volpe: Just first one for me. Can you provide some additional color on the envelope segment? Yes, we were seeing revenue declines kind of accelerating on a year-over-year basis. I just want to confirm that we're seeing signs of recovery as we enter the second half of the year. I'm assuming a lot of that came from the U.S. customer that you mentioned in your prepared remarks, mostly -- most of the impact coming from April. But I just wanted to confirm that we're seeing signs of acceleration as we're entering the second half of this year.
Stewart Emerson: Yes, Donangelo, thanks for the question. Yes. So I try to point out that there was one customer in particular that drove or overdrove the reduction in volume. But we also said that lumpiness shouldn't be much of a surprise in the declining market. I don't know whether I'd characterize as a return of volume. I think the volume is sort of where it is. It ebbs and flows a little bit. Both markets are in secular decline, which we all acknowledge. But our ability to penetrate that market in excess of the secular decline and maintain sort of top level and volume and utilization of the factories, and we think we're in good shape there. So overall, markets are declining. Our ability to overcome that is pretty well documented, pretty well positioned, 4 quarters where we had increased volume. This is a little bit of a blip, primarily driven by one customer. But at the same time, you know this in secular decline and with the same iron chasing less volume, there's always pressure on price and our ability is to be able to overcome that with efficiencies, we're going to a different customers. I don't know whether that answers what you're looking for, but...
Donangelo Volpe: Yes, that's enough color there. And then I guess just moving over to working capital. Can you talk to some of the factors that were at play this quarter related to that? I was a little surprised by the fluctuation year-over-year, which kind of impacted the free cash flow numbers through this quarter.
Silvana Reyes: Thank you for your question. For what we've seen is like, obviously, we've put a lot of effort in ensuring that we have the right level of inventory. We've paying our customers very quickly. And I think this is just -- a lot of it could be timing as well as just regular part of the business and operating. We foresee that for the next quarter will be in a much better position given all the inflow from not only the sale-leaseback transaction that we announced but as well as just in general, I think it's part of the business that you'll see some of that lumpiness quarter-over-quarter, but not a cause of concern for us.
Donangelo Volpe: Okay. And then just moving over to the M&A side of things. Can you provide any additional color on the transaction details for the 2 tuck-in acquisitions? Are they similar EBITDA profiles to the existing business that you guys have? That would be the first question. And then secondly, can you talk to the pipeline of potential M&A activity following these 2 tuck-ins?
Stewart Emerson: So on the smaller one, the packaging EBITDA, very close margin profile, maybe even a little bit stronger than ours. So yes, and which will obviously get much stronger because we've taken out a ton of cost -- a proportionate amount of cost in terms of rents and overheads and indirect labor and so on and so forth and actually putting it into a more efficient network. So we think that's immediately accretive. The other part of it is we didn't move any of the equipment and the equipment has some decent value. So the net cost was pretty insignificant. On the envelope side, the margin profile is not as strong. I don't think there's many operators out there that have margin profile as strong as Supremex does. We're moving their $10 million worth of sales into the Supremex network. So you get the benefit of more absorption within Supremex and running on better, more efficient equipment. The key trick is maintaining the sales as we transition it. But the margin profile was roughly half of what Supremex is. Pipeline, sorry. Sorry, the pipeline itself. We've been talking over the last little while about -- we think our priority should be looking for opportunities that increase utilization within the existing footprint, i.e., tuck-ins. We've talked about that for the last couple of quarters. I think strategically, that's still the direction we're headed before we start to expand geographically in packaging. It's really around supporting the existing businesses with potential tuck-ins.
Donangelo Volpe: Okay. Makes sense. And then final question for me. Are there any updates on the CFO hiring process? I believe we were anticipating an update by the end of this quarter.
Stewart Emerson: Yes. And I know I said that I thought we'd have someone in a chair. But Silvia is doing such a good job. It's like we don't need to -- no, I'm just teasing. Yes, we're very, very, very close.
Operator: There are no more questions, this concludes the question-and-answer question. I would like to turn the conference back over to Stewart Emerson for any closing remarks. Please go ahead.
Stewart Emerson: Great. Thank you, operator. Appreciate it, and thank you all for joining us this morning. We look forward to speaking with you again at our next quarterly call. Thank you. Have a great day.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.